Operator: Good morning. My name is Nicole and I'll be your conference operator today. At this time, I'd like to welcome everyone to ADP's Fiscal 2015 Earnings Webcast. I'd like to inform you that this conference is being recorded and all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I'll turn the conference over to Mr. Sara Grilliot, Vice President, Investor Relations. Please go ahead.
Sara Grilliot - Automatic Data Processing, Inc.: Thank you. Good morning, everyone. This a Sara Grilliot, ADP's Vice President, Investor Relations, and I am here today with Carlos Rodriguez, ADP's President and Chief Executive Officer; and Jan Siegmund, ADP's Chief Financial Officer. Thank you for joining us for our fiscal 2015 earnings call and webcast. Carlos will begin today's call with some opening remarks and then Jan will take you through the fiscal 2015 financial results and our outlook for fiscal 2016. We will then take your questions. I'd like to remind everyone that today's call will contain forward-looking statements that refer to future events and as such involve some risks. We encourage you to review our filings with the SEC for additional information on risk factors that could cause actual results to differ materially from our current expectations. With that, I will turn the call over to Carlos.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Thank you, Sara. Good morning everyone. This morning, we reported fourth quarter and full fiscal 2015 results with revenue up 5% and 7%, respectively, despite continued pressure from foreign currency translation. Even more gratifying is our exceptionally strong performance on new business bookings, which grew considerably better than our expectations to 18% for the quarter and 13% for the year. Our strategy to drive sustainable growth at ADP is working, the result of which is strength across all three of our strategic pillars. In particular, ADP Health Compliance product line has been particularly well received in the market, significantly outpacing our internal expectations. We have brought our technology and expertise together in a way that meets an acute client need at a time when businesses are racing to ensure compliance with the Affordable Care Act. Our success here has resulted in higher than anticipated selling expenses ahead of related revenue and that has put significant but short-term pressure on our fourth quarter and full fiscal year 2015 margins and earnings. In order to transition this strong performance in new business bookings to recurring revenue, we are making additional investments in operational resources that will begin in the first half of fiscal 2016 and remain throughout the year. These investments are not expected to contribute meaningfully to recurring revenue until the second half of the fiscal year. Jan will further explain our expectations for fiscal 2016 later in the call. But before he does, let me give you other examples of how execution against our three strategic pillars is driving ADP's recent growth and future opportunities. As we have told you, we are all-in on HCM. Overall, it was a successful quarter and year for ADP, as we continued to grow our complete suite of cloud-based HCM solutions, delivering customer solutions that work together seamlessly. This past quarter, we introduced a number of enhancements across our major platforms. With RUN, we updated the entire user experience to simplify interaction with the platform for small business owners. We expanded the capabilities of Workforce Now, our HCM solution for midsized businesses, to include career and job portals as well as a consumer grade experience for employee benefit enrollment. And we delivered a new user experience for Vantage clients as well, which promise to be even more intuitive, engaging and contextual. And for certain clients on our strategic platforms, we were especially excited to introduce ADP DataCloud, which leverages ADP's unparalleled data and insight to deliver workforce analytics that can help boost productivity, help develop talent, increase retention and identify potential flight risks. About 1,000 ADP clients are already taking advantage of these analytical capabilities. Not only have we been busy on the technology front, but we have also been busy building partners through the ADP Marketplace. We're excited to have about 60 partners providing solutions through our secure application programming interfaces, or APIs, and there are another 200 that have expressed interest in partnering with us. This is an exciting development for us. We are attracting established leaders like Concur and Cornerstone OnDemand, as well as exciting emerging technologies, such as OnePage, which provides clients an innovative platform for engaging passive job seekers. The ADP Marketplace is a great example of ADP taking a client-centric, outside-in view of enhancing our HCM capabilities and creating best-in-class solutions for our clients. In fiscal 2015, we also continued to make progress in growing and scaling our market-leading HR BPO solutions by innovating our product offering and improving the experience for our clients and their employees. Helping our clients achieve success is at the core of what we do, so it's critical that we understand the business issues they're facing in the markets they serve. We recently hosted an Insights 2 Innovation forum for a number of our clients to help us look around the corner. These client insights provide a framework to enhance our innovation efforts to ensure we are consistently advancing our solutions to address their needs and help their businesses thrive. To this point, in May we introduced a new program for ADP TotalSource focused on health, wealth, life and work, aiming to provide worksite employees with a suite of benefits and tools designed to support employee growth and development. Increasingly, employees are interested in tools and services to optimize productivity and wellness across the entirety of their lives, both at work and at home. We are continuously looking at ways to improve the health of worksite employees by offering new benefit solutions and partnering with clients to implement wellness programs. We also continue to expand into new markets and grow globally with our clients. In the 104 countries that we now serve, we remain focused on broadening our service capabilities to ensure we are delivering consistent, scalable and valuable services. In fact, the Everest Group recently recognized ADP for the geographic scope, scalability and global expertise of our payroll offerings. The success we've achieved requires that ADP continues to attract and keep great talent. We take great pride in creating an environment that attracts great people and I'm honored by some of the recent awards we've received recognizing ADP as an innovative company and a great place to work. Specifically, InformationWeek recently named ADP to their list of top business technology innovators and Computerworld listed ADP as a Top Place to Work in IT. And we are also pleased to have ranked number 20 on the 2015 DiversityInc Top 50 Companies for Diversity. ADP is the only HCM company that serves clients across the globe, across the full HCM spectrum and across the full range of client sizes. We focus on our clients' biggest investment, challenge and opportunity: their people. And we have the resources, scale and expertise to meet the market needs. Our clients are responding. We now have 500,000 clients in the cloud, more than 5 million people are using our mobile app and client revenue retention remains at record levels. In closing, fiscal 2015 was a successful year for ADP. We sharpened our focus on the HCM market through the spin-off of CDK Global. We expanded our suite of HCM solutions and our global presence and delivered solid revenue growth in spite of pressure from foreign currency translation. Consistent with our commitment to shareholder-friendly actions, we returned $2.5 billion in cash through dividends and share repurchases and during fiscal 2015 reached a milestone of 40 years of consecutive dividend increases. As I look forward into fiscal 2016 and the opportunity we have to assist our clients with growing regulatory compliance associated with the Affordable Care Act, I'm excited about the challenge ahead. The success of our HCM solutions highlights the strength of our direct sales force and our history of assisting clients with navigating the challenges of ever-increasing regulatory complexity. Combine this with ADP's historical strength of expanding client relationships, and this is a challenge I would love to have every year. The higher selling expense we incurred in the fourth quarter is behind us. To deliver on these commitments to clients, we will invest further in the first half of the fiscal year to convert these new sales to recurring revenues. We believe these investments will reward us with profitable revenue growth and even deeper client relationships over the longer term. I am confident that as we successfully execute against our strategy, we will continue to drive results for our clients, our associates and our shareholders. And with that, I'll now turn the call over to Jan to further review our fiscal 2015 financials and a discussion of our fiscal 2016 outlook.
Jan Siegmund - Automatic Data Processing, Inc.: Thank you very much, Carlos. And good morning, everyone. As Carlos mentioned, fiscal year 2015 was a successful year for ADP. Revenues grew 7% to $10.9 billion for the year. This growth includes a negative impact of approximately 2 percentage points from the effects of foreign currency translation. Pre-tax earnings grew 10%, which includes a negative impact of approximately 1 percentage point from the effects of foreign currency translation. ADP's consolidated pre-tax margin improved by 60 points for the year. This included a drag of about 20 basis points from the slower growth of our high margin client funds interest revenues as these highly profitable revenues grew at a slower rate than overall revenues. Diluted earnings per share grew 12% to $2.89 on a lower effective tax rate and fewer shares outstanding compared with a year ago. This growth included a negative impact of about $0.04 from the effects of foreign currency translation. And as Carlos mentioned, our new business bookings for the year exceeded our expectations, finishing at 18% growth for the quarter and 13% for the year compared with our April 30 forecast of about 10%. This outperformance resulted in higher selling expense than ADP anticipated and caused pre-tax margins and earnings results to come lower than our own prior expectations. Overall, I'm pleased with ADP's solid performance, which yielded good growth despite the impacts from foreign currency translation and continued low interest rate environment, which puts pressure on the growth of ADP's high margin client fund interest revenues. I'm also pleased that we continued our shareholder-friendly actions, returning approximately $2.5 billion to shareholders during fiscal year 2015 through dividends and share repurchases. So now for a discussion of our segments results. In our Employer Services segment, revenues grew 5% for the year and were negatively impacted by 2 percentage points from foreign currency translation. This revenue growth was driven primarily by additions of new recurring revenues across all of our HCM markets we serve. For the fiscal year, client revenue retention remains at a record high level of 91.4%. You have may noticed in this morning's press release that the fourth quarter - that in the fourth quarter our revenue retention rate declined by approximately 30 basis points. And as we told you last quarter, we do experience variability in this metric from quarter to quarter and we continue to pay close attention to retention across all our areas of our business. We are also pleased that same store pays per control in the U.S. remain strong with an increase of 3% for the year. Average client fund balances grew 5% compared with a year ago, including a negative impact of about 1% from foreign currency translation on balances held outside the U.S. The primary drivers of the client fund balance growth were additions from net new business and pays per control, moderated by decreased balances from lower state unemployment tax rates compared with the prior year as employment levels in the U.S. continue to improve. We remain pleased with the overall performance of our international business, which continues to see healthy growth from sales of our multinational solutions. In Europe, the economic situation remains challenging and while we have seen growth in sales from our in-country solutions that are above Europe's overall GDP rate, the growth had been slower than our overall growth. Pre-tax margins in Employer Services – pre-tax margin in Employer Services was 70 basis points for the year, primarily from scale and productivity and reflects pressure from additional selling expense related to the fourth quarter outperformance in our new business bookings. I'm very pleased with the performance of the PEO in fiscal year 2015. The business posted 17% revenue growth with average worksite employee growth of 14% for this year. And along with this growth, the PEO delivered exceptionally strong margin expansion through sales productivity and operating efficiencies, expanding margins by approximately 110 basis points for the year. Before I take you through our fiscal 2016 outlook, I would like to point out that our client funds investment strategy had a positive year-over-year impact to our fiscal year 2015 revenue and pre-tax earnings for the first time since 2008. The benefit was slight, contributing about $7 million, driven by a balance growth that was offset by slightly lower average yield on the portfolio. However, we are pleased to have turned the corner in fiscal year 2015 after years of earnings pressure resulting from the continued low interest rate environment. So now, I will take you through our updated fiscal 2016 outlook, which excludes the results of a discontinued operations from a small non-HCM related business we sold at the end of the fiscal year. For fiscal year 2016, we are anticipating new business bookings growth of 8% to 10%. We expect this growth to be balanced across our three strategic pillars, with continued favorable performance from the sale of our ADP Health Compliance products. We anticipate total revenue growth of 7% to 9% for the year, including an anticipated negative impact of 1 percentage point to 2 percentage points from unfavorable foreign currency translation. This forecast assumes 5% to 6% revenue growth in the Employer Services segment, including an anticipated drag of approximately 2 percentage points from foreign currency translation and growth in pays per control of 2% to 3%. Revenue growth for the PEO is expected to be 15% to 17%. ADP's pre-tax margin is expected to expand about 50 basis points from 18.9% in fiscal year 2015. This forecast of pre-tax margin expansion is at the low-end of our goal of 50 basis points to 75 basis points of pre-tax margin expansion over the longer term. We're still committed to this goal but we believe the opportunity to assist our clients with ACA compliance will contribute to ADP's strategy of driving higher penetration of our HCM product suite as well as continue revenue growth and profitability. So while we do not expect to achieve more than 50 basis points of pre-tax margin expansion in fiscal year 2016, we believe that the fiscal year 2016 investments we are making will contribute to ADP's growth and achievement of our longer term goals. On a segment level, we anticipate pre-tax margin expansion of about 100 basis points for Employer Services and about 50 basis points of margin expansion in the PEO. Diluted earnings per share is expected to grow 12% to 14% compared with $2.89 in fiscal year 2015, and includes an anticipated negative impact of about 1 percentage points from unfavorable foreign currency translation. This forecast does not contemplate further share buybacks beyond anticipated dilution related to employee benefit plans. Although as communicated at our March 3 Investor Conference, it is clearly our intent to continue to return excess cash to our shareholders, depending on market conditions. Our earnings per share forecast assumes an effective tax rate of 33.7%, compared with the 33.5% in fiscal year 2015. Before I move to the forecast for the client funds extended investment strategy, I want to make a few comments about our expected quarterly growth rates for fiscal year 2016. As mentioned in this morning's press release, we expect that revenue growth in the first and second quarters of the fiscal year will be below our forecasted range of 7% to 9% for the year and above the forecasted range of 7% to 9% for the third and fourth quarters in that fiscal year. This is due to two factors. First, we anticipate that the first and second quarters of the year will experience continued negative pressure from foreign currency translation until we anniversary the strengthening of the U.S. dollar that occurred during fiscal year 2015, assuming no material changes to current foreign exchange rate. Second, as Carlos mentioned, new business bookings sold during the fourth quarter of fiscal year 2015 will take time to implement and, therefore, anticipate that the most of the incremental revenue from these solutions will not impact recurring revenue until the third fiscal quarter. Because of the investment in operational resources to support these implementations and the anticipated lower revenue growth in the first half of the year, our quarterly earnings forecast assumes flat to slightly positive pre-tax earnings growth in the first and second quarters of fiscal year 2016. As we have mentioned, we believe this investment will yield growth and longer term benefits to ADP, as well as deeper client relationships. So with that, I will take you through our forecast of the client funds extended investment strategy. First, a reminder that the objectives of our investment strategies remain the safety, liquidity, and diversification of our assets. As of June 30, approximately 80% of our fixed income portfolio was invested in AAA and AA rated securities. In a typical year, our strategy results in about 15% to 20% (21:25) of our fixed income investments maturing, and this year, we expect the percentage of maturities will be closer to the higher end of this range. We continue to base the interest rate assumptions in our forecast on the Fed Funds future contracts and the forward yield curve of the three-and-a-half and five year U.S. Government agencies, as we do not believe it is possible to accurately predict future interest rates, the shape of these – the shape of the yield curve, or the new bond issuance behavior of corporate and other issuers. For fiscal year 2016, we anticipate average client fund balances in the range of $22.5 billion to $22.9 billion, which represents 3% to 5% growth, and includes an anticipated impact of about 1% from foreign currency translation, as almost 12% of our client fund balances anticipated to be outside the U.S. in fiscal year 2016. We anticipate that the yield on the client funds portfolio will remain about flat at 1.7% compared with fiscal year 2015. These factors are expected to result in an increase of $5 million to $15 million to our client funds interest revenue and an increase of up to $10 million to pre-tax earnings from the client funds extended investment strategy, when compared to fiscal year 2015. The detail of this forecast is available in the supplemental slides on our website. And, finally, before I take – before we take your questions, we're anticipating capital expenditures of $225 million to $250 million in fiscal year 2016. With that, I will turn it over to the operator to take your questions.
Operator: Thank you. We'll take our first question from the line of David Togut of Evercore ISI. Your line is now open.
David Mark Togut - Evercore ISI Institutional Equities: Thank you. Good morning, Carlos and Jan.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Good morning.
Jan Siegmund - Automatic Data Processing, Inc.: Good morning, David.
David Mark Togut - Evercore ISI Institutional Equities: Good morning. How do you think about balancing this well above trend growth in global new business bookings with the expense associated with implementations? And what I'm trying to understand is, if you have the opportunity, let's say, to meaningfully accelerate bookings growth above the historic target levels of 8% to 10%, would you do it in this environment?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Yeah, absolutely. I mean, when you think about the way our business model works, and I think we've been saying this probably for multiple decades, it's an incredibly attractive business model because of the retention rates. So, if you're keeping clients 10 years to 12 years on average, and in some cases, with large clients, 20 years, and to spend the sales expense and the implementation expense in the first year to then have that cash flow stream for that long is just adds a tremendous amount of value in what we call lifetime client value. So, we've been saying this, I think, for decades. All of my predecessors have said it that this is really a great problem to have, is to have new business bookings accelerating the way they did this year, and in the last quarter. And, frankly, from a shareholder value creation standpoint, we would love for it to continue.
David Mark Togut - Evercore ISI Institutional Equities: Understood. So as a follow up, that said, I'm trying to understand the 8% to 10% growth target for new business bookings given the 13% growth you put out for FY 2015, is that just a conservative outlook or is that realistic?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Well, we were taking bets on how long it would take someone to ask this question and so you get the prize. And the reality is, I think as we said over the last three years or four years, whenever we have the kind of strong finish that we just experienced, we have historically wanted to be cautious because – and we've had experiences in the past where, due to the way our incentive systems work and other factors in terms of how our sales force behaves, that a very, very strong finish in a fiscal year can sometimes lead to a slower start in the next fiscal year. So, when we looked at that 8% to 10%, if you look at the five years on a compounded basis, we have had actually right around 10% growth. And so we've been in double-digits now for five years and we're definitely coming off of some very strong momentum. And I think the ACA boost that we're getting is certainly welcome. But I think when you look at it over a long period of time, I think we feel like 10% is a very, very strong number and that's at the top end of our range. So somewhere in that middle range of 8% to 10% feels like the right place for us to be planning our year.
David Mark Togut - Evercore ISI Institutional Equities: Understood. Thank you very much.
Operator: Thank you. Our next question comes from the line of Sara Gubins of Bank of America Merrill Lynch. Your line is now open.
Sara R. Gubins - Bank of America Merrill Lynch: Hi. Thanks. Good morning. I wanted to start by asking about the strength in the fourth quarter new bookings. Are these coming from larger clients? I'm wondering if that's why it's taking about six months for them to start to contribute. Is any coming from Vantage or much coming from Vantage? And are you expecting margins to be in the typical range?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: So to be clear, I'll let maybe Jan add a little bit of color in terms of specific numbers, but the strength was really across the board in all of our segments. And to be clear, it was not only Affordable Care Act related business; it was also in some of our other HCM solutions, including our core strategic platforms. And we just want to remind you also that ACA compliance is a requirement not just for large national account clients, but really effective next year for clients over 50 employees and currently at clients over 100 employees. And so we obviously experience some interest in our HCM products and ACA compliance products in our major accounts, mid-market business as well. So it wasn't contained really to national accounts. And we also frankly experienced strong growth in our multinational products as well, which have nothing to do with ACA. So we really just had good across-the-board sales results. I don't know if, Jan, you want to add?
Jan Siegmund - Automatic Data Processing, Inc.: Yeah, I think one way to think is that ACA is triggering basically a broader HCM demand because the integrated bundle is very compelling to our clients. That's particularly relevant for the mid and up-market. But in addition to your final question is the margin (28:34) expectations for this ACA business and we have no reason to assume it would be any different from our average that we have in ADP. So this will be a good business for us in the long run.
Sara R. Gubins - Bank of America Merrill Lynch: Okay. Great. And then turning to the fourth quarter. Employer Services revenue growth of 2% was below what we've seen in a while. And I know that FX was an issue and the comparison was particularly tough. But I am wondering if this was a surprise for you. And if so, what led to it? Particularly because you have had strong new bookings for the last couple of quarters. Thank you.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I think excluding the FX, it was not a surprise. I think that if you look at again over four quarters to six quarters, there's some variability sometimes in calendar and a few other odds and ends here. But, no, the answer is it is not out of line with what we would have expected based on our bookings and based on our retention rates and all of the kind of other things that go into that mix.
Sara R. Gubins - Bank of America Merrill Lynch: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Tien-Tsin Huang of JPMorgan. Your line is now open.
Tien-Tsin Huang - JPMorgan Securities LLC: Hi. Great. Thanks. Great bookings. I guess just a build-on question. I mean, can you just force-rank for us which markets were stronger than expected on the bookings front? And any change in duration of deals, thinking about how they cycle in?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Having looked at these numbers last night, I'm not sure that I can force-rank it because we really had strength across the entire portfolio, including global. Probably where we have the most variability is in the highest end of the business just because of the lumpiness and the size of those deals. And we did have particularly strong results in our multinational products. But when you look at the broader big business units where we have much bigger numbers and you don't have as much variability, they were all very, very strong and we were very pleased with the results.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay. Fair enough.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: The second question was around duration. You mean in terms of how long it's taking to close deals? Or...
Tien-Tsin Huang - JPMorgan Securities LLC: Well, yeah, I was actually more thinking about the revenue realization or the bookings conversion and the terms of the deals (31:02)
Jan Siegmund - Automatic Data Processing, Inc.: There are two elements obviously as we deal now with a big backlog of implementations that just have to be naturally worked down. And secondly, the reporting requirements kick in really in earnest around the calendar end of the year. So I think the ACA product itself contributes a little bit to the back-endedness of our product. And then just regular work. So I wouldn't just put anything special into this revenue conversion of a half a year, I think it's just like how we're operationally going to implement the business. And then the ACA timing plays a little bit of a role of it, too.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: There are some important milestones that happen on January 1 with regards to reporting around the Affordable Care Act. And so that's six months from now, that happens to be the average guidance that we give in terms of converting new business bookings into revenues. But we just want to make sure that we maybe gave a little bit of color there that if people are wondering like why now and not three years ago, because the Affordable Care Act was passed quite a long time ago. Some of the requirements for ACA have been phased in over time and there happen to be some important reporting requirements that are kicking in January 1.
Tien-Tsin Huang - JPMorgan Securities LLC: Got it. That is very, very clear. Makes sense. So, just one quick follow up just on the buyback front, as we expected, it's not in guidance. But has your philosophy changed at all with respect to buybacks, including how you leverage your balance sheet and approach to debt, et cetera? Thanks.
Jan Siegmund - Automatic Data Processing, Inc.: No, there is absolutely no change in our philosophy. I think it's actually typical that we would not guide to future share buybacks, so this is right in line with how we've ever done. You should not see any change in our attitude towards returning cash to shareholders.
Tien-Tsin Huang - JPMorgan Securities LLC: Great. Thanks, Jan. Thanks, Carlos.
Operator: Thank you. And our next question comes from the line of Smitti Srethapramote of Morgan Stanley. Your line is now open.
Smittipon Srethapramote - Morgan Stanley: Thank you. So just another question on bookings. Generally speaking, the acceleration in new bookings that you're seeing, are you just generally seeing the markets that you are competing in growing faster than you were expecting, or do you think you're also taking share from some of your competitors?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I think it's probably a little bit of both and it depends on which market. And probably not going to get into those specifics in terms of market by market. But I think it's a combination of both because we have heard anecdotal stories, we obviously don't meet with our competitors to talk about these things, but we have heard anecdotally that the Affordable Care Act compliance requirements, especially the reporting requirements that are kicking in on January 1, are creating a higher-than-normal level of activity in the marketplace in general. But I think when we look at our growth rates across overall ADP and compare them to the growth rate of industry, we believe we are, I think, winning some market share as well.
Smittipon Srethapramote - Morgan Stanley: Got it. And then just a follow up on ADP Marketplace. It sounds like there's a lot of developer interest. Can you remind us whether this is more about giving customer choice for existing modules or whether it's about generating more revenues?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: That's a good debate that we've had I think a fair amount of here internally and I think we are leaning right now in the direction of being more open than not, which means, in some cases, there will be potentially some either perceived or real gaps that clients will be able to fill in through the ADP Marketplace, but we do fully expect this to be monetizable and I think a revenue generator for ADP. But I think as we've said for the last two quarters or three quarters as excited as we are because of the traction we're getting at $12 billion, this is really not going to have a meaningful impact anytime in the near future from a revenue standpoint.
Smittipon Srethapramote - Morgan Stanley: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Gary Bisbee of RBC Capital. Your line is now open.
Gary E. Bisbee - RBC Capital Markets LLC: Hey, guys. Good morning. I guess I'd ask another question about the ACA product. Obviously, that sounds like that's doing really well. How do you – two-part question. How do you think about how that trend in bookings trend, once we get into calendar 2016, and, theoretically, most companies are using this service, and can this continue to grow or is this more of like a one-time mad dash to get into compliance and then it's hard to keep growing that product? And the second part, as companies come to you looking for this product, are you seeing them take any other products? Or is that driving broader demand as they're thinking through these issues into the other parts of your portfolio? Thanks.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: They are, in fact, taking broader sets of our product. And part of that is, just to refresh your memory, I think we've been talking about this for a few years that the Affordable Care Act really requires a core system of record for payroll, requires a good benefits administration system, and a good time and attendance system. I know you've probably heard the stories about the 30 hours requirement for eligibility and some of the other factors that go into complying with ACA. So, really, having a complete HCM bundle and suite is almost a necessity for ACA compliance. Now, some, I think, competitors and, in some cases, we may choose to provide ACA solutions on a standalone basis, just like we do with standalone tax. But, clearly, with the very effective, direct sales force that we have, I think we are using this as an opportunity to really, as much as possible, encourage prospects and existing clients to really broaden their – what they're taking from us in terms of HCM solutions because it just makes it easier to report and comply with ACA. But it also, frankly, provides a lot of other benefits that we've been talking about for years, in terms of managing their workforce and optimizing their business. So, the answer is yes, when you look at our sales results, our new business bookings results, the ACA products dragged along with them additional modules and bundles, particularly around benefits administration. We anticipate that time and attendance systems will also be something that will be of increasing interest here over the next couple of years, not just because of ACA but because of some of the recent proposals around new requirements for the measurement of overtime. So, I think that this all bodes well for additional penetration of our products and we did see that in the fourth quarter.
Gary E. Bisbee - RBC Capital Markets LLC: Great, and then the follow-up is, is there anything particular about these ACA solutions that's different and would require a significant level of resources – investment and resources to handle the onboarding? Or is it just that it's a fairly new product and so you didn't have those assets in place?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Yeah, it's a fairly complex compliance solution. And we developed it really with ADP's value proposition on mind, so it goes even further than recording and measurement eligibility. And in particular at the back end, which has a lot of the filing requirements that are due to the IRS and exchange of information with the public exchanges on penalties and rebates and so forth is fairly complex. And so that requires some time. I think the delay in implementation is not specifically caused by the (39:15) of the ACA product implementation, but more by the volume that we have to work through, and to some degree, if clients buy a full suite of HCM services, obviously, that is a complex implementation on its own. So, that combination of it. So, don't think of the ACA product as particularly difficult to implement. It does require implementation resources, but it is more really that working through the backlog and implementing a large number of broader modules in parallel with the ACA that will cause a kind of that time delay that we give you. Also, the revenue disbursements, I'd just like to remind everybody, is also due to that strong FX pressure in the first two quarters and less FX pressure in the second half of the year, so it's a combination of that that helps with the guidance. And even though you didn't ask the question, I just want to make sure I get the information out. In the first quarter, we anticipate FX pressure of approximately 3% and in the second quarter, revenue pressure of FX by approximately 2%. So you can – then it abides in the second half of the fiscal year. And on NOI, it's a little bit less pressure but kind of in that neighborhood and so you have really a strong component of this revenue guidance is aided also by the FX impact. So I don't want to have this ACA impact to be too overstated in your thinking.
Gary E. Bisbee - RBC Capital Markets LLC: Thank you.
Operator: Thank you. And our next question comes from S.K. Prasad Borra of Goldman Sachs. Your line is now open.
S.K.Prasad Borra - Goldman Sachs International: Thanks for taking my question. A couple, if I may. Probably first one just on the operational costs. Can you elaborate on the operational costs associated with this new bookings? Is it just primarily going to be on services or are you expecting some investments in product offerings, especially for the up-market segment?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I think just in terms of on the fourth quarter, I think we may have said in our comments, and if not, we should clarify that. We fully – even as of a few months ago, expected to – our own forecasts were to come in in line with the guidance that we had provided. And so the entire miss in the fourth quarter, if you want to call it a miss, I kind of call it good news, but if you want to call it a miss, was really due to selling expense. So we had approximately $40 million in incremental selling expense, which again as I said, we'll take all day long because that's now behind us. And again, given these lifetime client values, we're going to have these client for a long time. We're going to be collecting revenue and margin for them for a long time to come. So that's all good news. In terms of what we are planning, in terms of additional resources for implementation, as Jan said, this is all due to volume. It's not related to complexity or other issues, which again, just to reiterate, is a good news story. So we were not anticipating 13% bookings growth, otherwise we would have – and 18% for the quarter, otherwise we would've told you that last quarter. And so that requires us to ramp up some of these implementation resources purely driven by volume. But again it's a good news story because once we get through that expenses well, then we will have the benefit of those revenues for many, many years to come. And so in terms of quantifying those numbers, as Jan said, the first half of the year, it's mainly an FX story, but we do have probably 30 – around $30 million to $40 million of incremental operating expenses in order to implement all of these – all of this new – all of this incrementals. It's incremental on top of what we had already planned for in terms of implementation expense and that adds a little bit of additional pressure in the first half, but the FX is really the main story.
S.K.Prasad Borra - Goldman Sachs International: That's great. On the competitive landscape, can you provide any color on the changing dynamics in various segments, up-market, mid-market, the SME market and also the PEO segment? A lot of noise in the market, but want to hear your perspective on your latest offerings and how the competitive there in the market?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I mean, that's a lot of ground to cover. I think the general answer is again as we prepare for these calls and we look at our win/loss ratios and we look at growth rates of new business bookings, not just for ACA but also in our strategic platforms, we feel pretty good about our competitive position. We don't see any major changes in terms of pricing behavior out in the marketplace. We're steadily growing our sales force at the rates that we had planned and I think our productivity gains have exceeded our expectations, which I think are a sign of I think getting reasonably good traction in terms of our – the products in the marketplace. So we're – I think we're pleased with our competitive position but we acknowledge also that there is a lot of competition out there. And a number of new entrants and I'm sure there's plenty have also exit. But this is a vibrant, competitive market but we believe that we are doing a pretty effective job when you look at our new bookings results, which is the ultimate measure of whether or not we're winning against the competition or not.
S.K.Prasad Borra - Goldman Sachs International: That's very helpful. Thanks, Carlos.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Thanks.
Operator: Thank you. Our next question comes from the line of Lisa Ellis of Bernstein. Your line is now open.
Lisa D. Ellis - Sanford C. Bernstein & Co. LLC: Hi. Good morning, guys. Hey, in the I guess 7% nominal and then 9% constant currency revenue growth from this year, it looked like pays per control came in around 3%. Can you kind of disaggregate the other 6 points of constant currency growth in there?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Yes.
Lisa D. Ellis - Sanford C. Bernstein & Co. LLC: Client growth versus PEO-related revenue growth versus add-on modules into the base?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Sure. I mean, Jan can maybe add a little bit more detail, but I think as we went through in March Investor Conference, pays per control really adds less than 1% to our revenue growth. And we have a couple of other small items that, plus and minus, very, very small impact. The main impact of our revenue growth is the difference between our new business bookings, which then turn into starts, and then our losses. So, we refer to as starts, which is – the leading indicator of our starts is our new business bookings. And so that really is the bulk of the 6% that you're referring to. And, by the way, that 6% was probably closer to 2% to 3% three years ago, because as the difference between our starts related to new business bookings and our losses has grown at a faster rate than our revenue growth, we've been able to kind of accelerate our revenue growth here. And that is with kind of a very similar pays per control number overall three or four of those years. And we've had around 2.5% to 3% pays per control growth here for a while. I want to add, also, that for two years or three years, we had about a 1% drag from client funds interest, because that was a revenue number that was under pressure. We had one year where we had $90 million decrease in interest income and in another one, I think we had $50 million. So there are some moving parts where it's very, very hard in a call like this to get through every year, every detail. But, in general, our net new business – difference between starts and losses has been expanding and growing, and it will continue to, given these strong new business bookings we just reported, and that tends to accelerate our revenue growth. Now, versus other business models that are not recurring revenue models, our revenue growth tends to accelerate at a slower rate because of just the dynamics of the existing base, which we also love. So, we love retaining 91% of our clients. But what that means is that to accelerate that revenue growth requires multiple years of new business bookings growth in 10% or more, which is exactly what we've accomplished in the last five years. And so that's why you've seen this, I think it was probably around 2% coming from that net new business number four years or five years ago, to today more like 6% to 7%. And obviously, we think that by the second half of this fiscal year 2016, that revenue growth rate will be based on – to be fully – we were transparent in terms of providing the comments and the guidance that Jan gave, that we expect to be above our range in the second half of the year. I think that you can extrapolate from that that we will have robust revenue growth in the second half, exiting the second half of 2016 and hopefully entering into 2017.
Lisa D. Ellis - Sanford C. Bernstein & Co. LLC: Terrific. And the just – sorry, go ahead.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I was going to – I think your other question was about decomposing PEO impact versus (48:25) impact. And I believe that from a growth rate decomposition standpoint, I believe it's about half and half.
Lisa D. Ellis - Sanford C. Bernstein & Co. LLC: Got it, got it. Good, and then just one follow-up related to the competitive environment. How frequently are you the only – are you sole sourced, currently, like, in this most recent quarter, when you had really strong new bookings. Is it predominantly sole sourced? Or are they -
Jan Siegmund - Automatic Data Processing, Inc.: Sole sourced you're defining as we're in a non-competitive situation basically?
Lisa D. Ellis - Sanford C. Bernstein & Co. LLC: Exactly, yes.
Jan Siegmund - Automatic Data Processing, Inc.: We don't really have reliable statistics on it. And it switches, obviously, from – in the down market, more often than not, it is not a direct competitive situation, to up-market, it's always a competitive situation and a band in between. So, it switches to it. In the cross-selling of our additional modules and ACA products, it's more often than not, probably, that we ask our clients to expand our product offering.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I mean, this is a good opportunity, also, to put in a plug for our direct sales force. We have over 5,000 field salespeople. And I think that that, at various times, becomes a point of discussion externally and internally about the cost of that, because it's an investment. But obviously, this quarter and this year proved that, whether it's a competitive situation or not a competitive situation, having a sales force is an incredibly important competitive weapon for us that, again, we've been utilizing very effectively here for decades and it's a very well-honed machine. And they did an amazing job this year. And I think, as Jan said, other than for small clients, where sometimes there's no competition, but even then there are many options nowadays, almost every situation is competitive. In the mid-market, the up-market and many times in the low end of the market, in the PEO and benefits, and across all of our products, and having a well-trained, well-incented direct sales force is an important competitive advantage for us.
Lisa D. Ellis - Sanford C. Bernstein & Co. LLC: Terrific. Thank you.
Operator: Thank you. Our next question comes from Jim MacDonald of First Analysis. Your line is now open.
James MacDonald - First Analysis Securities Corp.: Good morning, guys. I'd like to go back to the ACA product. Could you tell us how you're pricing it? Is it priced monthly? Is there an extra charge in January for the form that needs to be filled out, like a W-2? And how big is the market? I mean, how much is this adding to the market in terms of maybe dollars per worksite employee per year?
Jan Siegmund - Automatic Data Processing, Inc.: Good question. This is priced as a module, like our other HCM modules as a per-employee per month-type charge. For ACA compliance, you have to really work throughout the year and so the service is offered throughout the year. And the year-end filing requirements of the forms for the employee and the employer is included in that monthly charge. So once we are going, you should expect a steady recurring revenue stream integrated in our HCM solution. So, it's not like a W-2, for example. It's just an integrated price that we give to our clients. And I'm sorry, the second part of the question was how big it is? It's a smaller-type module compared to our overall incremental revenue that we sell.
James MacDonald - First Analysis Securities Corp.: Okay. And maybe for a follow up. Normally, this time of the year, you tell us what your client count was at year end and client growth? I didn't see it in the release.
Jan Siegmund - Automatic Data Processing, Inc.: Jason, you're asking two good questions that we were waiting for and I appreciate them. We had another good year of client count growth accelerating and taking market share of 3.5% for the company.
James MacDonald - First Analysis Securities Corp.: Okay. Thanks very much.
Operator: Thank you. And our next question comes from the line of Jason Kupferberg of Jefferies. Your line is now open.
Ryan Allen Cary - Jefferies LLC: Hi, guys. This is Ryan Cary calling in for Jason. First one just on the Employer Services side. I saw that the pre-tax margin is expected to be up 100 basis points and then looking at the PEO, which is expected to be up about 50 basis points, but overall pre-tax margins were only forecast to increase 50 basis points. So I was just curious what are the other pieces here? Is there something that maybe I'm missing?
Jan Siegmund - Automatic Data Processing, Inc.: No, I think we have still a little bit of – number one, it's the balance of the growth. So you have 50 basis points of the PEO which weighs down the overall margin expansion and you have a very small drag from the client fund interest rate that depresses anything, but nothing else really that is that meaningful.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: And if you remember that the way that we do our reporting is we provide Employer Services a 4.5%, which, again, this has been going on for years that we just fixed it at 4.5%. They get credit for the fund balances at 4.5% in Employer Services. And then we have in the other segment is where we do kind of the adjustment, if you will, for what the real rates are, which, as we just, said are 1.7%. So that accounts for some of that difference as well. The missing link for you in terms of it's 150 basis points and then that other segment, at least today and into the foreseeable future, will be a drag on that overall margin just because of the math, because of the way we credit interest at 4.5%. So there's no economic difference to ADP overall. It's just that we, for management purposes so that Employer Services isn't focused on interest rates, we pass back to them a credit for interest rates at 4.5%. And that number, one would argue now with the benefit of hindsight that that number's too high. But it's been that way for many, many years. And for comparability purposes, we've chosen to just leave it the same.
Ryan Allen Cary - Jefferies LLC: Great. Thanks so much. And then on client retention, I saw it's down a little bit year-over-year for the second straight quarter, but it was flat at record levels for the full year. Can you just tell us what you're assuming for 2016 in regards to client retention?
Jan Siegmund - Automatic Data Processing, Inc.: We don't really guide to our client retention. But we have historically said that maintaining historic levels of retention is for sure a good goal to have.
Ryan Allen Cary - Jefferies LLC: Great. Thanks so much.
Operator: Thank you. And our next question comes from the line of Glenn Greene of Oppenheimer. Your line is now open.
Glenn E. Greene - Oppenheimer & Co., Inc. (Broker): Thanks. Good morning. I'll just follow up on the retention. Obviously, two quarters isn't a trend, but we haven't seen two quarters consecutively down. Is there anything to call out there or maybe perhaps a lost client from a couple quarters that continues to drag?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I think if you go back you – not that I'm trying to encourage you to look for bad news, but you will find that we definitely have had prior times in our history where we had two consecutive quarters of decline in retention. It's just the way – mathematically, it has to have happened just because of the fluctuations that we've had over the years in our client retention. But the answer is, you see the tone of how seriously we take this. And we've said twice that we watch this very, very carefully and we're looking across all of our segments. Unfortunately, we just really don't have anything to report in terms of any patterns or any particular place of concern that we have right now. And we will definitely communicate that if we see any of that. I did, as I prepared for the earnings call, notice that in our major accounts and our mid-market business, as we got off or in the process of getting off of two of our legacy platforms, we did have retention pressure on those platforms. And that doesn't account for the 30 basis point decline, but as we move from our small business migrations or upgrades where we move clients over onto RUN, where we had just frankly amazing results, where retention actually has improved and increased overall through those migrations. As we anticipated as we began this process of trying to accelerate the upgrades of our clients in our mid-market and up-market, I think it's safe to say that when we get to the end of the line on some of these platforms, that we do experience a little bit of pressure. So we had a time and attendance system, for example, in our mid-market where we spent a couple of years getting all of the clients off of it. And then in the last six months, the last few hundred clients the retention rate was 50%. So good news is it was only a couple of hundred clients and so that 50% retention rate doesn't really have a major impact on overall ADP in terms of revenues or retention. But you combine that with another legacy payroll platform where we only have I believe now it's 300 clients left on our PCPW platform in our mid-market, that also experienced lower than historical retention rates as we get to the end of the line in terms of encouraging the last few clients to move off of that platform and to upgrade them.
Glenn E. Greene - Oppenheimer & Co., Inc. (Broker): Okay. And then back to the bookings growth, the 18% in the quarter, I know there's been a lot of discussion regarding it, but I guess I'm a little still unclear what the upside was on the quarter. Was it specific to the ACA products? But it sounds to me like that's not a huge driver. Or was it just sort of broad based strength across the board that kind of surprised you to the upside?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: It was broad based strength across the board, but ACA was a significant part of it.
Glenn E. Greene - Oppenheimer & Co., Inc. (Broker): Okay. And just, Jan, to clarify, the $40 million incremental sales commission, by my math, that's like $0.05 or $0.06 for the quarter.
Jan Siegmund - Automatic Data Processing, Inc.: I think that's fair. And so we had a little bit better performance and a few miscellaneous items, so we would have point landed (58:36) our 14% earnings growth without (58:39).
Glenn E. Greene - Oppenheimer & Co., Inc. (Broker): Okay, great. Thanks.
Operator: Thank you and our next question comes from the line of Bryan Keane of Deutsche Bank. Your line is now open.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Hi. Most of my questions have been asked and answered. What was the expectation for new bookings? I knew it grew 18%, but I know it was over your expectation. But what was it going into the fourth quarter?
Jan Siegmund - Automatic Data Processing, Inc.: We had guided for 10% new business bookings growth on our last earnings call and so our true expectation was to grow 10% for the year and I'm looking at new business bookings for...
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Our sales plan had to be below...
Jan Siegmund - Automatic Data Processing, Inc.: I don't have – it had to be below 10% because we exited around 11% year-to-date in third quarter. So we had planned slightly below 10% new business bookings growth. That is almost little bit too much detail here for our purposes, but 10% was our true forecast at the end of the forecast for the year.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay, yeah, because I don't recall in ADP's history missing EPS due to selling expense. So I guess it sounds like the size of the direct sales force has increased as well? Maybe that has something to do with it, or just maybe the comp structure?
Jan Siegmund - Automatic Data Processing, Inc.: I contribute that to your young age, but we do had...
Carlos A. Rodriguez - Automatic Data Processing, Inc.: ADP has missed...
Jan Siegmund - Automatic Data Processing, Inc.: We have missed the number of times actually due to good sales performance actually I think in my first year, three years ago, we did have such year also. So it does happen and as Carlos has alluded to, we have two things there, sales incentives that accumulate and accelerate performance in a good sales year for the sales force, so they have high incentives to book. And that causes it. And if you multiply out that incremental new business bookings relative to the NSE cost, (01:00:49) you see, really, that it's just a marginal cost that we pay out and have in our distribution channel.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Hey. Just because of the nature of our business model, really, the only – not the only, but one of the few places where we get variability in terms of our results is on bookings and sales expense. But, the good news is that having additional selling expense is usually related to having really great bookings result, which is what we had. And, as I said, like, when you look at our business model, that's a great – it's a great story and a great outcome. So – but it is the one place where – we don't, as you can imagine, you can just imagine how silly it would be for us to call our sales force in the middle of the quarter and tell them we would like you to stop selling, so that we don't miss our sales expense forecast. That's not what we do. We actually call them and go on sales calls to encourage them to close as much business as possible, because of what it does to the lifetime value of ADP.
Bryan C. Keane - Deutsche Bank Securities, Inc.: No. Yeah, that makes sense. I mean, it doesn't make sense to not grow the business. It just doesn't happen that often. But then again, I guess an 18% bookings quarter obviously in the fourth quarter is – doesn't happen as often, historically. All right, just last question for me. I think you mentioned this, Carlos, but obviously, with the low revenue and profit in the first half of fiscal year 2016, and then an accelerated growth rate in the back half of fiscal year 2016, that I think we can assume, or should we assume then the first half of fiscal year 2017 will still have those benefits? So, we should have an outsized growth rate in both profit and revenue in the first half of fiscal year 2017 as well? Thanks so much.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Let me just answer your original question, which was back to – I did find some of these numbers here. So, the 18% in Q4 of 2015 was 110% of plan. So, you can assume that our growth rate expectation was around 7% or 8% for the fourth quarter. And we had 18%. And another piece of information is in the fourth quarter of fiscal year 2014, we had 4% growth. So just to give you a sense of kind of the grow over issue there. And on the last question, we're not providing fiscal year 2017 guidance yet.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. Yeah, I just thought you mentioned something about that it will continue into fiscal year 2017 because of that growth rate that's in the second half, which will be exponentially higher.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Well, I didn't say anything about – I think what I said was that we would be exiting – and I did get kicked under the table, by the way, for what I said. But what I said is that it's clear from what Jan said in his comments that we expect to have the second half of the year revenue growth to be above the guidance range and the first half to be below the guidance range. That would lead most people to conclude that, assuming the FX doesn't compress even more than it has, because, again, this assumes that we plan based on spot rates at the time that we're having this call, or at the time we actually prepare our operating plans. So, things can happen. That's why we don't provide fiscal year 2017 guidance. But, assuming the FX rates stay where they are and at the pressure abates in the second half and that we have all of these new business bookings implemented and executed upon, then I think what we said was that, in the second half of the year, we would be above our guidance range. And then, for folks who follow ADP closely, they know that just because of the recurring revenue nature of the business, that if in the fourth quarter of a fiscal year, you have X revenue growth, that again, barring any changes in FX or other things, that, for the following first or second quarters of the next fiscal year, you should be somewhere in the same neighborhood. This is not trying to provide guidance. We're just trying to help, I guess, clarify what I think is already – should be obvious.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Super. Thanks for the color.
Operator: Thank you and our next question comes from the line of Jeff Silber of BMO. Your line is now open.
Henry Chien - BMO Capital Markets (United States): Hey, good morning. It's Henry Chien calling in for Jeff. Just wanted to follow up a little bit about pricing. Could you talk a little bit about pricing trends you're seeing and how much, if any, that pricing was used to generate some of that new business bookings growth? Thanks.
Jan Siegmund - Automatic Data Processing, Inc.: Yeah. Two components to your pricing question. In the past fiscal year, we had price increases approximated a little bit less than 1% of revenue growth, right in line with our long-term expectations. And when – the best way to assess pricing competitiveness and pricing dynamics on the new business bookings is really a way to look at our discounting levels throughout the book of business as we sell and they are consistent with prior quarters, so we have not seen any changes in our – in the pricing environment that were meaningful to report.
Henry Chien - BMO Capital Markets (United States): Got it. Okay. Perfect, thank you. And just wanted to touch a little bit on the partnership with Cornerstone OnDemand. How are you thinking about – or if you have any updates on your thoughts on where it makes more sense to partner on certain areas of HR? Thanks.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I think we offered a couple of examples out of the set of 60 participants in the marketplace, picking a couple very well-known partners and market participants in the HCM market, just as examples that we have really – you shouldn't read more into it. We have larger and established companies in the marketplace and we have startups in the company place and we're really emphasizing the need to be part of an overall integrated environment that the utilization of this APIs will allow us to pursue, to better serve our clients.
Henry Chien - BMO Capital Markets (United States): Got it. Okay. Thanks for the color.
Operator: Thank you. And again, ladies and gentlemen, in order to allow time for others, we ask that you please limit yourself to one question and one follow-up. Our next question comes from the line of Joe Foresi of Janney Montgomery. Your line is now open.
Robert E. Simmons - Janney Montgomery Scott LLC: Hi. Great. Thanks. This is Robert Simmons on for Joe. So you called out that FX hit Employer Services by 4%. Can you say how much it hit the PEO line? And then how do each of those compare to your expectations?
Jan Siegmund - Automatic Data Processing, Inc.: That's a good question. The PEO has no FX impact. They're a U.S. only business. So, yes.
Robert E. Simmons - Janney Montgomery Scott LLC: And then, relative to expectations, were they 4% on FX for Employer Services?
Jan Siegmund - Automatic Data Processing, Inc.: For Employer Services, it's kind of in line with what I gave you for the overall company. It's a little bit...
Sara Grilliot - Automatic Data Processing, Inc.: Sorry. You're asking...
Jan Siegmund - Automatic Data Processing, Inc.: It's a little bit more – I'm sorry, I misunderstood. So, the ES revenue – why not, it's a mathematic. It's about 4% in the first quarter for ES, and between 2% to 3% in the second quarter for next year.
Robert E. Simmons - Janney Montgomery Scott LLC: Sorry. I was asking, though, what actually happened in the fourth quarter compared to what you thought was going to happen, in terms of FX impact.
Jan Siegmund - Automatic Data Processing, Inc.: Oh, it was right in line. I'm sorry. I misunderstood.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: In line with 4%.
Jan Siegmund - Automatic Data Processing, Inc.: Yeah, it was 4% and...
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Just to be clear, it's 4%. Because it is greater than the overall ADP impact, because the PEO has none, and it's $2.5 billion of revenue. So, I think, by definition, the ES impact has to be a larger percent impact than the overall ADP impact.
Robert E. Simmons - Janney Montgomery Scott LLC: Definitely. Okay. Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Mark Marcon of Robert W. Baird. Your line is now open.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Good morning. Post the new sales that you had, what percentage of the client base that is required to file 1095s has actually signed up for the ACA compliance product?
Jan Siegmund - Automatic Data Processing, Inc.: I don't think we want to talk about it in detailed numbers, but your question, Mark, yields on are we anticipating future ACA sales in future years and the answer is yes, so it's not everybody has signed up. We still have opportunity in future years.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): It would be significant, wouldn't it?
Jan Siegmund - Automatic Data Processing, Inc.: Yeah, it would. Yes, we have a large portion of our clients signed up, but not all.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Okay. And then with regards to nationals. What percentage of the clients are on Vantage at this point versus some of the older systems? And what's the plan in terms of the transition?
Carlos A. Rodriguez - Automatic Data Processing, Inc.: So Jan will probably get you the – we can come up with – I think I have it here somewhere in terms of how many clients we have live on Vantage.
Jan Siegmund - Automatic Data Processing, Inc.: 129 clients live.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: I knew he had the numbers, so 129 live on Vantage. We did this year go through some migrations and so we have been – I guess, I would call it dabbling and working on some migration tools and moving some clients, but we have several thousand clients in our national accounts base so – and frankly we kind of like – we want to do both but we really like new share and incremental growth to the company, and so our focus for the last couple of years has been on kind of new logos, new share, but we realized that we also need to bring our existing clients along, just like we're saying we need to do that in the mid-market and then in the low end of the market. So I think you'll continue to see us do both, sell new share and also migrate clients – sorry, upgrade.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): And just from a servicing perspective, is there any changes contemplated in terms of the service methodology going forward in any of the lines to even further strengthen the retention rate?
Jan Siegmund - Automatic Data Processing, Inc.: Yeah, we have a number of initiatives on continually enhancing our service and compliance offerings which are, as you know, an important part of the overall ADP value proposition. So, in addition to the technology of Vantage and Workforce Now on RUN, very important and so they are ongoing and incremental and they, in particular, focused on improving the overall client experience by offering a more integrated service offering that further strengthens like the togetherness of payroll, HR, talent and benefit. So that the client gets really the best of ADP from an integrated source of service. So it's an ongoing transition as we work on continually improve it. But in parallel with us becoming an integrated HCM technology platform provider, our services will – is migrating into that same method.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: And we've I think invested more than the normal amount in user experience and usability over the last 12 months, and I think it's – it's I think getting us good traction in the marketplace because that is frankly, in today's world, the expectation is to have kind of a consumer grade experience both for the worksite employees or the employees of our clients and the worksite employees in the PEO as well as for the practitioners that use our products at the client site. And so, if you do market checks, you'll see that we have an updated – and we mentioned it in some of our comments, so I think that we've been investing quite a bit in usability and user experience.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Great. And one last question. What's the remaining authorization on the buyback?
Sara Grilliot - Automatic Data Processing, Inc.: I can get that for you, Mark. I can follow up with you.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Enough for now.
Jan Siegmund - Automatic Data Processing, Inc.: Enough for a good bit.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: You don't have to worry about it, but we're going to get that for you.
Sara Grilliot - Automatic Data Processing, Inc.: Yeah.
Mark S. Marcon - Robert W. Baird & Co., Inc. (Broker): Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Matt O'Neill of Autonomous Research. Your line is now open.
Matt C. O'Neill - Autonomous Research US LP: Hey. Good morning. I was just curious if you, guys, could go back and discuss the DataCloud offering that you mentioned you now have 1,000 clients signed up for and maybe how the revenue model works for that business and if it's nice to have or a must have for the clients who have kind of given you feedback on it at this point?
Jan Siegmund - Automatic Data Processing, Inc.: I'm glad you're asking. So, DataCloud is the branded name for our data analytics and Big Data product that we're developing and it is our new market-leading comprehensive reporting and analytic solution that includes benchmarking and capabilities for it and it's sold in our mid-market as an incremental module, reporting – or analytics module, if you want, it's called DataCloud and you subscribe to it on a per employee per month basis. And it just launched and we have 1,000 clients mostly in the mid-market. Vantage has it built in and it's included and we're seeing good traction I think. This is going to – from my personal expectation, it should be a must have because it is truly unique the way you can now drill in and compare your performance to a level of detail of compare to benchmarks it's really not available elsewhere, and so we put big investments into our data analytics product development and DataCloud is really the first version of it and you should see continued expansion and broadening of the offering. So very exciting early stages and I think you will hear more from it over the next year for sure.
Matt C. O'Neill - Autonomous Research US LP: Thank you.
Operator: Thank you. This concludes our question-and-answer portion for today. I am pleased to hand the call over to Mr. Carlos Rodriguez for any closing remarks.
Carlos A. Rodriguez - Automatic Data Processing, Inc.: Thank you all for joining us today. I think that the 2015 results as you see I think are an example of the enduring quality of the ADP business model as we continue to combine best in class sales operation with breakthrough products and services to try to meet the needs of our clients. I also want to take this opportunity to say that as excited as we are about the opportunities in front of us, we need to thank our associates and, in particular, our sales implementation associates for the hard work in 2015. There was a lot of extra hard work to make these new bookings results happen and there's still a lot of work in front of us here in 2016 and it would appear beyond in order to get all of this business implemented, started and provide the clients the service they expect from us. So I appreciate their hard work as well, and I look forward to talking to you again next quarter. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. That does conclude today's program. You may all disconnect. Have a great day, everyone.